Operator: Good morning and welcome to the WNS Holdings Fiscal 2021 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After managements prepared remarks, we will conduct a question-and-answer session and instructions for how to ask a question will follow at that time. As a reminder, this call is being recorded for replay purposes. Now, I'd like to turn the call over to David Mackey, WNS' Executive Vice President of Finance and Head of Investor Relations. David? 
David Mackey: Thank you and welcome to our fiscal 2021 third quarter earnings call. With me today on the call, I have WNS' CEO, Keshav Murugesh; WNS' CFO, Sanjay Puria; and our COO, Gautam Barai. A press release detailing our financial results was issued earlier today. This release is also available on the Investor Relations section of our website at www.wns.com. Today's remarks will focus on the results for the fiscal third quarter ended December 31, 2020. Some of the matters that will be discussed on today's call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, those factors set forth in the company's Form 20-F. This document is also available on the company website. During the call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliations of these non-GAAP financial measures to GAAP results can be found in the press release issued earlier today. Some of the non-GAAP financial measures management will discuss are defined as follows: net revenue is defined as revenue less repair payments; adjusted operating margin is defined as operating margin, excluding amortization of intangible assets, share-based compensation and goodwill impairment; adjusted net income, or ANI, is defined as profit, excluding amortization of intangible assets, share-based compensation, goodwill impairment and all associated taxes. These terms will be used throughout the call. I would now like to turn the call over to WNS' CEO, Keshav Murugesh. Keshav?
Keshav Murugesh: Thank you, David, and good morning, everyone. We hope you and your families are safe and well. Our fiscal third quarter results continue to demonstrate the strategic importance of our BPM solutions to our clients and the resiliency of the WNS' business model. Net revenue for Q3 came in at $224.5 million, which represents a year-over-year decrease of 1.6% on a reported basis and 2.6% constant currency. Sequentially, net revenue increased by $10 million, or 4.7% on a reported basis and 3.5% constant currency. During the quarter, our delivery capability remained stable, with supplies averaging 98% of client demand. In Q3, WNS' business momentum recovery continued to progress as we added nine new clients and expanded 14 existing relationships. Year-to-date, despite the impact of COVID, we have closed 24 new logos versus 2018 during the same period of last year. During the quarter, the company also reinitiated global hiring in support of both signed new deals and a healthy sales pipeline. In addition, our third quarter margins, profits and cash flow remained strong. On today's call, I wanted to spend a little time highlighting WNS' unique positioning in the healthcare space and to discuss the expanding opportunities across the healthcare spectrum, including payer, provider, pharma and medical devices. Combining these practices, WNS has over 15 years of experience and over 4,000 specialists, including more than 750 medical doctors', registered nurses and clinical staff. In the past four years, our combined health care revenues have gone from 7% of company's total to 20%, representing a compounded annual growth rate of over 40% including acquisitions. Year-to-date, in fiscal 2021, our health care revenues have grown by 19%. Within the healthcare space, our largest segment in this year our HealthCare Insurance Practice WNS has industry-leading care management solutions, leveraging deep domain expertise, advanced analytics and digital technology assets. Today, WNS services three of the 10 largest health insurance companies in the U.S. as measured by annual premiums. The company's capabilities and offerings are focused on high-end clinical solutions, as supposed to commoditized, action scheduled work, allowing us to manage mission-critical processes for our clients. WNS provides services to healthcare insurers across, utilization management, claims and underwriting, payer analytics, care, disease, and wellness management and customer support. We have achieved expertise in specialty benefits management, stemming from our acquisition of HealthHelp including, high cost, high complexity areas such as, radiology, cardiology and oncology. Our solutions are evidence-based, technology-enabled, and increasingly leverage artificial intelligence and machine learning, to deliver optimal outcomes. This includes, HealthHelp Consult, our proprietary decision support technology platform, which combines an omnichannel front-end, web-based workflow processes, embedded predictive analytics and user-friendly dashboards. The platform is scalable and compliant with HIPAA and utilization management requirements. Most importantly, the outcomes we've been able to deliver for patients', doctors, and hospitals, as well as our payer clients have been significant. These include superior patient care, utilization reform, sustainable long-term savings, digital insights and education and behavior change. In terms of the numbers, WNS is saving our payer clients up to five times their cost of service representing a 400% ROI. We've driven reductions in unnecessary procedures by up to 20% enhancing quality of care and member safety hence reduce avoidable costs and delivered industry-leading Net Promoter Scores. Turning our attention to life sciences, WNS is a BPM industry leader in the pharma and biopharma space with over 1,200 people supporting this highly specialized sub-vertical. We currently service six of the top 10 and 12 of the top 20 pharma companies in the world, based on their 2019 revenues. The majority of our pharma engagements are focused on high-end, domain-centric, research and analytics with additional targeted back office, finance and accounting solutions, including procurement. Examples of WNS' pharma analytics capabilities include drug sites, patient data analytics, competitive intelligence, sales and commercial analytics, market mix modeling, and predictive analytics for patient treatments and outcomes. In this digital age our offerings are differentiated through data engineering, data science and data visualization capabilities and are enabled through WNS' platforms, such as Integrated Edge. Integrated Edge is our proprietary cloud-based digital technology platform, which leverages artificial intelligence, machine learning and deep domain expertise to provide our pharma and biopharma clients with competitive intelligence and landscape monitoring. In combination with our domain-centric subject matter experts, who provide advanced analytics, data visualization and business intelligence, WNS is able to help clients identify blind spots in their business environment and drive enhanced decision-making. During the COVID pandemic, WNS has been able to support our pharma clients rapidly changing requirements, enabling them to meet their needs for consolidating and analyzing large amounts of critical data and delivering reports and insights in highly compressed timeframes. As a result, we've helped them identify clinical trial populations, analyzed vaccine reactions and accelerate vaccine and therapeutic speed to market. While WNS has been able to create some unique offerings in the payer and pharma segments, we believe this remains a significant long-term BPM opportunity across all four segments of the health care landscape. With low industry penetration rates for higher value clinical work and expandable – or an expanding addressable market and accelerated industry disruption, this vertical is right for growth. Some of the key disruptive trends we see include in increased collaboration between payer and provider organizations, as focus shifts towards end-to-end patient care, the proliferation of ACOs or accountable care organizations rising demand for pharmacovigilance as the COVID fuel shift towards telecare. These areas will all require organizations to undergo significant business transformation and partner with a BPM provider who can combine specialized domain knowledge, technology access, advanced analytics and process expertise to deliver results. As a result, the health care vertical is a key area of focus and investment for WNS. Looking forward, WNS remains cautiously optimistic about the short-term BPM demand environment and believe the long-term market opportunity continues to improve. While we expect to see some ongoing COVID-related volatility in client behaviors, which will vary by the industry and by country, it is clear that demand for cost reduction and technology-enabled process transformation or hyperautomation are top of mind for clients. We believe that WNS' strategic investment programs are well aligned with where the expanding BPM market is headed. And we remain confident that our differentiated capabilities, solid business momentum and proven ability to execute will drive long-term sustainable value for all of our key stakeholders. I would now like to turn the call over to our CFO, Sanjay Puria to further discuss our results and outlook. Sanjay?
Sanjay Puria: Thank you, Keshav. In the fiscal third quarter, WNS net revenue came in at $224.5 million. down 1.6% from $228.2 million posted in the same quarter of last year and down 2.6% on a constant currency basis. Sequentially, net revenue increased by 4.7% on a reported basis and 3.5% on a constant currency basis. Sequentially, revenue improvement was broad based across verticals. services and geographies. In the third quarter, WNS recorded $5.5 million of short-term revenue, which was booked at margins significantly above company average. This quarter the short-term revenue amount was driven by gain sharing, fees associated with client ramp-downs, project work and business continuity pass-through charges. Adjusted operating margin in quarter three was 24% as compared to 22.8% reported in the same quarter of fiscal 2020 and 23.4% last quarter. Year-over-year adjusted operating margin improved as a result of proactive management of discretionary spending, lower travel and facility-related costs and favorable currency movements net of hedging. This benefit more than offset margin pressure from COVID-related impacts, including lower volumes, supply constraints and additional expenses associated with business continuity. Sequentially, margins improved due to increased revenue without corresponding increases in average headcount and currency movements net of hedging. These benefits more than offset the sequential impact of the $4 million one-time reversal of our leave provision booked in the second quarter and increased costs associated with facility utilization and business enablement. The company's net other income expense was $1 million of net expense in the third quarter as compared to $0.8 million of net expense reported in quarter three of fiscal 2020 and $0.7 million of net expense last quarter. Year-over-year, the unfavorable variance is attributable to reduced interest income driven by lower rates, which more than offset lower interest expense resulting from scheduled debt repayments and reduced IFRS lease interest costs. Sequentially, the increase in net expense is due to reduced interest income driven by lower interest rates. WNS effective tax rate for quarter three came in at 22.5% up from 20% last year and down from 23.5% last quarter. Changes in the quarterly tax rate are primarily due to the mix of profits between geographies and the mix of work delivered from tax incentive facilities. The company's adjusted net income for quarter three was $41 million compared with $40.9 million in the same quarter of fiscal 2020 and $37.9 million last quarter. Adjusted diluted earnings were $0.79 per share in quarter three versus $0.80 in the third quarter of last year and $0.73 last quarter. As of December 31, 2020, WNS balances in cash and investments totaled $390 million and the company had $25.1 million of debt. WNS generated $56.3 million of cash from operating activities this quarter and incurred $8 million in capital expenditures. During the quarter, the company repurchased 405,284 shares of stock at an average price of $67.67, which impacted quarter three cash by $27.4 million. DSO in the third quarter came in at 34 days as compared to 30 days last year and 34 days last quarter. The year-over-year increase in DSO is a result of temporary payment term concessions provided to several clients and some corrections delays. With respect to other key operating metrics total headcount at the end of the quarter was 42,830 and our attrition rate in the third quarter was 23% down from 26% reported in quarter three of last year and down from 24% in the previous quarter. Built seat capacity at the end of the third quarter remained relatively steady at 34,979. The seat utilization metrics which the company typically provides as a measure of infrastructure productivity are not meaningful given the current work-from-home environment. In our press release issued earlier today, WNS provided updated guidance for fiscal 2021. Based on the company's current visibility levels, we expect net revenue to be in the range of $860 million to $870 million, representing a year-over-year revenue decline of 4% to 3% on both reported and constant currency basis. Revenue guidance assumes an average British pound to U.S. dollar exchange rate of $1.35 for the remainder of fiscal 2021. We currently have over 99% visibility to the midpoint of the range and guidance does not include any short-term revenue for the fourth quarter. WNS continues to expect some ongoing business volatility over the next several quarters, positive or negative, which could impact client volumes, supply capability, contract concessions, and new project ramps. Full year adjusted net income for fiscal 2021 is expected to be in the range of $136 million to $142 million based on a INR73.5 to U.S. dollar exchange rate for the remainder of the fiscal year. This implies adjusted EPS of $2.61 to $2.73 assuming a diluted share count of approximately 52.1 million shares. For fiscal 2021, we continue to expect capital expenditures to reach up to $31 million. We'll now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Mayank Tandon from Needham. Your line is open.
Mayank Tandon: Thank you. Congratulations on the strong numbers. Maybe for Keshav first. Keshav, you've called out nine new client wins. Could you talk about what areas were those in? And maybe more broadly how has competition changed over the course of the pandemic? Are you seeing more cut-throat competition around pricing, or is it pretty much similar to what you were experiencing pre-COVID in terms of competitive pressures?
Keshav Murugesh: Right. Thanks Mayank. Great question. So, I'll have Dave and Sanjay talk specifics about the nine new clients, but what I will say is they are all very excited in terms of the potential for the long-term future of WNS. And as I called out earlier if you just look at the number of new clients we signed up already this year as compared to the same time last year, it actually positions the company well and augurs very well for the company long-term. In terms of the overall activity level itself, I will say that first and foremost the business is continuing to normalize very well. We believe that the business opportunities for BPM is continuing to grow. There's a lot of comfort in the minds of clients and prospects in terms of how superior companies like WNS actually managed the crisis. We are seeing a scramble with our existing clients as well as with new prospects to quickly move ahead with the disruption agenda. And while price will always be a point of discussion that clients will have with us, I can tell you that in no moment in time as we have seen now clients are much more focused on business outcomes as opposed to just your price. So, I think a few of the companies have done -- have managed the transition during COVID extremely well. I'd like to think that WNS is definitely the leader in this space. And that is what is actually creating the momentum for us which is enabling the delivery of these kinds of results. 
David Mackey: And just to add to Keshav's comment Mayank the specifics around your question about the profile of the new clients that we added the nine new customers that we added this quarter were in five different verticals including some good wins in shipping and logistics in insurance in the diversified and in health care. So, again, kind of, similar to what Sanjay mentioned in his prepared remarks and similar to what our business looked like pre-pandemic. What we're seeing is very healthy broad based growth across all of our key verticals.
Mayank Tandon: That's very helpful. And just as a follow-up, I wanted to turn the focus to margins. Could you maybe size the one-time benefits that you've experienced so far during fiscal 2021? When do they roll off? And do you think structurally the margin profile might actually look better post pandemic, just given that some of the changes in the business in terms of the sales process, the delivery maybe more employees working remotely, et cetera. Just maybe more of a longer term question to around what margins may look like structurally for the BPM business?
Sanjay Puria: So, Mayank, from a short-term revenue, till now during the year, we already have $16 million of short-term revenue including the $5.5 million during the quarter. And again, it depends upon the mix of the short-term revenue what we get, whether it's the short-term from a volume spike or whether it's a gain share and -- but -- and during the year this quarter, definitely the margin was significantly higher than the company average what we get over there. Having said that from a long-term perspective, as Keshav mentioned that the business is getting back to normalcy, the margin we expect to be around the 20% operating margin what we used to deliver, because there is a work-from-home but there are other costs which has definitely gone up. To enable those work-from-home including the cyber, including some of the other enablement on the collaboration tools and so on to really work on that. And as we keep on moving to work-from-office back, because that's what the client is expecting as we move forward, those costs are going to come back, including some of the acceleration on the investments around the digital transformation and so on.
David Mackey: And just to add a little bit to that Mayank. I think when you look at this fiscal year and you look at kind of the nonrecurring stuff, there's a lot of moving parts to this year. Obviously, on a net basis, for us, COVID is going to be a negative for the year. You look at the first quarter at 17.5% margins when supply issues were a major challenge. And through the first two quarters where we were carrying pretty significant excess capacity, those were drags on our margins this year. Now we did get some benefits, obviously, as you mentioned with lower facility costs, lower travel costs, net of our business continuity. But, the reality is we're still down about 130 basis points, if you look at the midpoint of guidance on a year-over-year basis. And it's largely reflective of the headwinds that we've had this year from COVID. We've also had a tailwind this year from FX. So, one of the things we haven't spent a lot of time talking about through three quarters of the year and where we stand with respect to the fourth quarter guidance is that we're going to get about 150 basis points of margin lift this fiscal year from currency. So, a lot of moving parts within the year. But to Sanjay's point, I think as we look forward, we look at our business kind of returning back to normal, which means getting back to our pre-COVID growth rates and getting back to a situation where we're able to deliver the 20%-plus that we're known for doing.
Mayank Tandon: Great. Thank you again. Congrats.
David Mackey: Thanks Mike.
Sanjay Puria: Thank you.
Operator: Thank you. Our next question comes from Bryan Bergin from Cowen. Your line is open.
Bryan Bergin: Hi. Thank you. I was hoping you can comment on deal conversion and engagement ramps. So, talk about how that's occurring today. You characterized clients taking smaller bites previously of the large deals. So, can you just give me an update on what you're seeing there?
Gautam Barai: Yes. This is Gautam. The trend continues to be similar whilst the pipeline is extremely healthy and conversion rates, as Dave and Keshav alluded earlier, continue to be broad based. The transitions that are happening at the moment are again bite-sized, although what we are seeing is a lot more optimism with the clients in terms of increasing the size of these transitions.
Keshav Murugesh: So Bryan, I'll just add to that. This is Keshav. I think what is interesting is, obviously, we're seeing a mix across the portfolio. But generally, what we're seeing is clients being quite comfortable now in terms of forgoing in-person transitions. I think that's important for us to realize. It means that once the decision is made to want to go ahead, they are able to move very quickly with confidence with WNS. And because of the fact that we are seeing a little bit of new COVID cases in Europe and U.S. and things like that some of the plans for ramps may get delayed a little bit. But that's the only thing we have to prepare for and these are things that are really out of our control. But generally I will say that we're seeing a mix of different kinds of deals large deals decisions being taken; smaller deals decisions being taken. Most importantly what I want to say is, clients and prospects are comfortable in moving ahead now and helping to get the business back to normalcy which is what Dave and Sanjay spoke about earlier in terms of growth rate and profitability.
Bryan Bergin: Okay. That's helpful. And as we think forward here how are you expecting the growth trajectory to unfold next year? So in fiscal '22 do you anticipate a material sequential build through the year, or is this a cadence that's going to look more like your typical trajectory just given your fiscal year overlaps pretty cleanly with the timing of the pandemic?
David Mackey: Yes. Look I think we've been pretty consistent Bryan in trying to focus people more on the sequential cadence to our business. It's really more reflective of how our business runs and the fact that given the long-term nature of our contracts given the stickiness of the revenue that we have basically an annuity business. So what's really important to try and understand is how that business is layering on, on a quarter-to-quarter basis. Part of the reason we call out the short-term revenues is so that you get an understanding of what is not expected to repeat in the following quarter, it may or it may not. But at least it gives you a better visibility to kind of what that underlying cadence is. So what we try and do is we strip away the impact of FX. We strip away the impact of the short-term revenues. And what you get is a real understanding of kind of what the on-the-ground underlying business momentum is. And then what we've seen across the last couple of quarters is a very slow, but very steady improvement in that cadence. If you look at the last fiscal quarter here Q3 you take away the fact that we had a little bit of an FX tailwind and you take away, we had an additional $1.4 million of short-term revenue. What you'll see is that our business actually grew 3% sequentially on a constant currency basis. And when you annualize that out you see it puts us back into kind of the low double-digit type of range. So we obviously took a step back because of COVID. Parts of our business like travel have yet to recover. But if you look at the underlying momentum in the business it's building back and we're comfortable that we're kind of back on a trajectory where we think we should be able to put up the kinds of numbers in fiscal '22 that we're known for doing.
Bryan Bergin: Thank you. 
David Mackey: Thank you, Bryan.
Operator: Thank you. Our next question comes from Maggie Nolan from William Blair. Your line is open.
Maggie Nolan: Thank you. Hi. I wanted to ask on DSOs. How long do you expect DSOs to be elevated, or do you expect additional clients coming forward asking for extended payment terms? And then how is your visibility into your clients general health now that many are through their 2021 budgeting cycles? 
Keshav Murugesh: So we definitely expect the DSO to be in this range from 31 to 34 to 35. Right now as I said in my prepared remarks there have been some delays. [Technical Difficulty]. Yes clients bidding out for some more concessions which may still continue for a couple of more quarters and we have to see that how pandemic comes outs and clients shape over there.
Sanjay Puria: Yes. Let me take a little bit of that Maggie. As you know if you look at kind of what's going on, some of the concessions that we gave early on in COVID continue. And it's largely in the areas that you would expect, the areas that have been most impacted. For us you look at the airlines that's clearly an area where there's been a challenge. And it's not something that's going to -- we think is going to go away in the short-term here. So I think most of our clients when you look at their budgeting process and you look at their outlook for next year, I think most of them realize they've kind of hit the bottom. At least they hope they've hit the bottom. But some of them realize they've kind of hit the bottom. At least they hope they've hit the bottom. But some of them do have ongoing challenges, especially within travel and specifically in travel within the airline space. And we're going to have to kind of watch and wait here. But I think overall the profile of our business is improving and the profile of our clients business is improving. And I think the other thing that's important is to understand that travel now for us is down to 15% of company revenue. And our exposure to the airlines is down to 4% of company revenue. So I think we continue as we grow around some of these areas as well we continue to de-risk the business.
Maggie Nolan: That's great. Thank you. And then good new logo additions. Are these companies new to BPM in general? And are you seeing any uptick in demand for offshore services?
Keshav Murugesh: Yes. So I'll take that. I'll answer the second part of the question first. Actually what we are seeing is a very exciting trend Maggie in terms of prospects who have not actually experienced this model in the past come forward and look to actually quickly get their teeth wet in terms of the model. So we're seeing quite a few of these companies come across and very diversified across all of core verticals as well as our horizontal geographies. And at the same time we're also seeing our existing customers also move quickly in terms of taking decisions with new areas that they may not have been comfortable outsourcing earlier. So, overall, I'll say that the way we have delivered the way we have performed the way we -- the comfort we have given in terms of COVID-related solutions has worked extremely well. And customers are very happy to interact with us in this model even in a virtual model where the sales model is still virtual, the transition model is still virtual, they're still interacting with their teams in a virtual sense. And I think most clients also realized that COVID is not going away, so much of argument, but you'll probably see it around the next few quarters. So, it's a combination now of existing clients as to new prospects, as to new processes and new clients now coming in. And in my prepared remarks, I also spoke about some of our existing verticals becoming far more exciting based on the investments we've made in the recent past. We believe that some of these verticals actually have tremendous potential to dramatically change the game for WNS in the medium to long-term as well. So, exciting days ahead I think.
Maggie Nolan: Thank you. Congrats.
Sanjay Puria: Thanks, Maggie.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar from Citi. Your line is open.
Ashwin Shirvaikar: Thank you. Hi, Keshav, Sanjay, Gautam and Dave. Congratulations on the quarter. Happy New Year.
Keshav Murugesh: Happy New Year, Ashwin.
Ashwin Shirvaikar: I guess, I wanted to start your comments are positive, you're doing a buyback again, hiring the numbers themselves indicate sort of I don't want to call it normal, but a path to normalcy. So my question is really on the pace of the return and partly what drives the question is your implied 4Q revenue outlook, it seems to incorporate the below normal level of both sequential and year-over-year growth. And I know you have a tendency to beat each quarter you've done that by about $10 million or more each of these quarters. So what's the explanation here? Are you just being conservative? What's the explanation?
Keshav Murugesh: Yes. Ashwin, I'll take a stab at that question first and I'm sure Sanjay and Dave will have more to talk about. But the first thing I will say is, while we are very confident about the return to normalcy and the way WNS has executed, I think, that's very important. You will note from the results across a few quarters that we're definitely not leaving anything on the table. Our execution is superb, our sales is superb, our operational area is superb. And the way we've pivoted to the business model in my view is outstanding as well. But when we give these guidances for this third quarter, this year in particular, we have to follow the consistent -- consistency seen that we are used to, but more importantly, I must once again mention that clients are also quite conservative in terms of providing their inputs and insight based on which we now our guidance, right? And during the quarter, if something changes, and it is positive a change that's what delivers these higher revenues and profitability along the way. So we execute well. But at the same time, during this year we are also careful about making sure that a lot of the guidance is actually coming from signing of contracts from clients. Now, in terms of the fourth quarter in particular, there are a number of puts and takes. They spoke about the one-timers of the Q3, but I'll leave it to Sanjay and Dave to explain that a little better.
Sanjay Puria: Yeah. And I know, Ashwin maybe just to add what Keshav mentioned, specifically for quarter four, actually if you see – based on the numbers, it's 3% growth, because in quarter three we had $5.5 million non-recurring revenue as well – and for quarter four, we have not baked any of the short-term revenue, because we don't have a visibility and that's pretty much consistent what Keshav was talking about, as well as some of the clients forecast because they have been very conservative, so that's another thing what is driving that. So right now, what Dave mentioned, specifically like 3% sequentially what we are seeing the growth and that's what indicates, including we have started hiring as you mentioned and as we move forward in quarter four to deliver those revenue those hiring will continue.
David Mackey: Yeah. And it's not just the revenue Ashwin, right? So what ends up happening is, we're hiring. We're not projecting short-term revenues. We're not projecting increases in terms of versus where our clients have given us forecast. And what ends up happening is, if we end up generating incremental revenue over and above this what it tends to do is also generate incremental margins. So one of the things you'll see in terms of the guidance is, if you look at what's implied in the fourth quarter we're back to around the 20% margin. And that's based on doing revenue that's relatively flat to Q3. But if that revenue comes, and it comes incrementally to where we are, it's going to drop at a healthy clip down to the bottom line. And so not only does it create the revenue upside that you're talking about it also creates the margin upside.
Ashwin Shirvaikar: Understood. Thank you for that. And then going back to the stock buyback. I mean, personally, I think you can buy back stock as well as make acquisitions, if you want. I just want to confirm the buyback resumption is just the indication you think there's value in the stock. It's not an indication that there aren't meaningful acquisition targets. And can you talk to the diligence process in the current environment as it relates to the M&A pipeline? I mean, I'm sure that, social distancing and the lack of travel makes diligence more difficult.
Keshav Murugesh: So Ashwin, you're absolutely, right. So first and foremost, let me once again underline that M&A is really the priority for us. And along with that is the buyback. So these are the two areas that we are very much focused on. I must give you a lot to confirm that we have a very strong team. We are consistently looking at deals. And we believe that, we're doing all the right things to make sure that the cash position that we have is utilized correctly in the longer-term interest of our shareholders. We also have a great track record of digesting acquisitions well and delivering results that are accretive and you know that very well. So, I happily confirm that we are looking at M&A in every one of our core areas. We have had no impediments in terms of doing due diligences, because there is – our team as well as our workers have worked out how we get all of this. So no issues there at all. And as far as the buyback is concerned, obviously, we believe that there is value and that's why we've announced it. So these will continue to be our focal areas of our capital allocation plan at this point in time. And having said that, we believe that the industry is healthy, strong, potential for WNS in the emerging industry is very strong and we will continue to invest our dollars in all the core areas, core verticals, marketing, technology as well as great talent and great people.
Ashwin Shirvaikar: Got it. Thank you.
David Mackey: And I was just going to add. With respect to the diligence process Ashwin, we're actually seeing that it's not difficult to do effective due diligence in this environment. Certainly doing that type of activity back in the March, April, May timeframe was a major challenge, given not only the distancing issues, but also given the lack of understanding and lack of visibility into what some of these assets might look like coming out of COVID.  But I think over the last three to six months, we've been able to get a better level of comfort in terms of kind of what the post COVID environment might look like for some of these acquisition targets. And we have been able to engage with a number of these firms to get into deeper and deeper due diligence and understand whether or not these are going to be good fits for us. 
Ashwin Shirvaikar: Okay. No that's good to hear. So if it's a good fit you have no hesitation in pulling the trigger here? 
David Mackey: Not at all. 
Ashwin Shirvaikar: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from Dave Koning from Baird. Your line is open.
Dave Koning: Yes. Hey, guys. Nice job. 
David Mackey: Thanks, Dave.
Dave Koning: Yes. And I guess, first of all the margin progress is pretty incredible. And I know if you go back five, 10 years, we would have said, hey, as we can disconnect from FTE-based revenue and more transaction based that would be good for margins. You've actually had the transaction base go down. It used to be like 17% of revenue. It's a little under 10% now. Now subscriptions have gone up which probably helps. But maybe describe like what's happening? It used to be that FTE was viewed as not as good, but it actually seems like you're doing better with that growing. So maybe describe kind of what's happening there? 
David Mackey: Yes. Look I mean -- and you're right, Dave. Margin certainly one of the things that we've always spoken about is that when we're able to move clients to transaction and outcome-based models, we have more leverage in our business. We have these at our disposals. But one of the other things that's happened is as we become more domain centric, as we become more tech-enabled, we're also able to drive profitability that way. So one of the things that we've seen and if you look at the profile of our segments is significant growth in the industry-specific revenues.  And when you can move clients to solutions that are specific to the verticals and the sub-verticals, which they operate within, you tend to be able to move away from commoditized pricing right? So if what you're doing is selling F&A services, it can be difficult to get value. What you're doing is just selling hard core analytics it can be difficult to get value. If what you're doing is just selling customer interaction, services it can be difficult to get value. But when you sell solutions and those solutions cut across traditional horizontals, the ability to price for value goes way up. And I think that's been part of the margin story for WNS.  The other part has been the gradual deployment of more and more technology on the processes that we manage where we do have some level of control and our ability to drive higher margins there as well. 
Dave Koning: Yes. That makes a lot of sense. That's really helpful. And then maybe just as a follow-up. I mean, basically the last two quarters margins have been all-time highs despite revenue being down a little year-over-year. And I know you answered some questions on margins already. But is there something that's just changed in the fundamental business whether it's just lower travel maybe permanently or whatever that maybe your margins over time now are just going to be at a higher level. And just kind of thinking about next year could we be above peak margins as we look at next year if revenue normalizes? 
David Mackey: Yes. I think it's a little early for that Dave. Certainly, we've gotten some benefits by either delaying or deferring certain types of expenditures. Travel is obviously a part of that; marketing, right? If you're not able to hold marketing events whether they're for the analysts and advisers or whether they're for clients, these kinds of things save you a lot of money and they're part of our normal expense structure. And we believe at some point over the next 12 months, these things are going to start to come back.  As a matter of fact, we've started to see some of these expenditures come back. And we saw a little bit of it this quarter, right? So our facility utilization, we're going to get people more and more people back into the offices. We're going to have people getting on planes at some point. So yes, these costs will come back. How long it's going to take? I think will be a function of essentially how quickly we can get herd immunity or we can get vaccinations out there and get people comfortable getting back on planes and kind of going back. Now you're 100% right and that some of this may be structurally impacted.  We certainly expect to have a certain percentage of our people working from home. But the question is, are people going to want to go to conferences? Are they going to want to go to conventions? Are they going to want to do some of these activities? And that's one of these things that we're going to have to wait and see. But our margin performance and outperformance this year has been to some extent a function of that dynamic, but it's also been a function of FX too. We've had a unique situation this year, which we really haven't seen in the past five to 10 years, which is both the British pound and the Indian rupee on a year-over-year basis moving in favorable trends for us. Typically we have one moving favorable and the other moving negative. So part of the story for this year is also currency.
Dave Koning: Yeah. That’s great. Well, thanks guys. Nice job.
David Mackey: Thanks, Dave.
Operator: Thank you. Our next question comes from Puneet Jain from JPMorgan. Your line is open.
Puneet Jain: Hey guys. Thanks for taking my question and good quarter. As you plan for next year and over the medium-term, how are you thinking about long-term changes in delivery model like mix of on-site needed for transition or even selling work-from-home employees, or even like the rural outsourcing here at onshore locations?
Gautam Barai: So from our perspective…
Keshav Murugesh: Go ahead Gautam.
Gautam Barai: From our perspective -- thanks Keshav. So from our perspective over the short-term, we don't see any change in terms of both our sales process, as well as in terms of our transitions or delivery model. As Dave and Keshav alluded earlier, as we progress through the next few quarters, there will be a few more people who will start working from the offices based on the client demands. But we're seeing this as per quotas and we are prepared from a hybrid operating model in terms of managing this lot more virtually. And clients are a lot more comfortable in terms of dealing with it.
Keshav Murugesh: So Puneet, I'll just add on a little bit here. I thought it was an excellent question. And as we look ahead, I completely agree with what Gautam said in terms of the short-term and the medium-term. I think what we must prepare for is the fact that the industry has now demonstrated to the world at large that we are now capable of working from the office, as well as pivoting to a work-from-home model. Now work-from-home is not going to be post-COVID in my view, the preferred model because reality is the complexity of the business will change, the technology components behind the business is going to keep increasing. The requirement for cybersecurity and other controls will keep increasing. And, therefore, clients will be more comfortable having people work from the offices. And we also will want to do that not just from a comfort point of view, but also from an economic point of view because in the office you can also drive more seat utilization. There are many other advantages. You can build structures things like that. But I'm not saying that WNS as a company has worked with the industry very closely to influence the long-term work-from-home trends, as a result of which, we will be able to blend our workforce with outstanding talent who can work-from-home on a part-time basis. We will be able to enable the geek economy if you ask me. We will be able to bring potentially more women employees who want to work part-time. And that is why the work-from-home kind of dilution or the changes that we push through with the government will actually help in the long run. But predominantly as Gautam said, we would expect to see that business will go back to the offices. And yes as we have built comfort with clients, we will also take the right decisions in terms of whether we want to invest in more onshore centers as well in order to grow our business and then move some of the existing to offshore locations.
David Mackey: Yeah. At the end of the day it's pretty simple to me. I mean, the clients are going to drive the model.
Puneet Jain: Yes. Got it, got it. No that's helpful. And then in this quarter your transaction based work was down on a sequential basis while FTE-based work was up. Was the difference due to exposure to specific clients and travel vertical in transaction-based work, or should we expect that two-line items to converge eventually?
Sanjay Puria: So, Puneet, yes that observation is right. And that's nothing from a trend perspective. It's specific to some of the clients' temporary in utilities vertical, as well as some from a CIS and some bit on the travel vertical. So you're absolutely right. But it's not a trend. It's just a short-term the volatility what we keep on having quarter-over-quarter.
Puneet Jain: Understood. Thank you.
Gautam Barai: Thanks, Puneet.
Operator: Thank you. And our next question comes from Vincent Colicchio from Barrington Research. Your line is open.
Vincent Colicchio: Yes. Thanks. Keshav, I'm curious, could you give us an update on your top client, your top five clients, maybe the growth expectation over the next several quarters?
Keshav Murugesh: Sure. So, first of all let me say that with all of these clients that we spoke about the relationship has been solid. The partnership all through this process has been outstanding. And for a few cases, renewal discussions have actually been commenced and in some cases also completed. So, we want to use this opportunity to complete some of these renewals and go after completely new processes as well with the client. The most important statement I would like to make is that, our relationship, where every one of our top 10, top five, top three clients, continue to actually become healthier and COVID, the experience of COVID has actually been used to build even stronger relationships with the CSO community inside each of these clients, who now have much more time to interact with the leadership of this side. And that's a very positive trend. But having said that, because of our success, that we're seeing with the number of new clients, as you know that puts pressure on the top 10 because we're all the time adding new clients who have the potential to go into the top 10 and replacing somebody else which is a good problem to have.
Vincent Colicchio: And given some of the issues, some captives have experienced with the pandemic, are you seeing opportunities on that side in terms of acquisitions?
Keshav Murugesh: Always, Vince. Absolutely, so two. We've spoken in the past about captive carve-outs. That's something that we are constantly focused on lots of discussions taking place there. The M&A pipeline that we spoke about includes, some of these kind of deals. So yes, I think again in no time in history, have I found CEOs and CFOs or clients of -- client-wise, actually now weighing the advantages of managing a captive as opposed to focusing on their core business. So, I actually think it's only a matter of time before, which many of them will take these decisions in terms of just focusing on what's core to them and handling out what is not core to them. And therefore there's a big opportunity. Remember, even companies like WNS came out of such a discussion one day.
Vincent Colicchio: Thanks for answering my questions. Great quarter guys.
Gautam Barai: Thanks, Vince.
Keshav Murugesh: Thank you, for your questions.
Operator: Thank you. At this time, we have no further questions in the queue. This will conclude today's conference call. Thank you for your participation and you may now disconnect.